Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Welcome to the Geospace Technologies' Fourth Quarter twenty twenty one Earnings Conference Call. Hosting the call today from Geospace is Mr. Rick Wheeler, President and Chief Executive Officer. He is joined by Robert Curda, the company's Chief Financial Officer; and Mark Tinker, CEO of Geospace subsidiary, Quantum Technology Sciences. Today's call is being recorded and will be available on the Geospace Technologies' Investor Relations website following the call.  00:55 It is now my pleasure to turn the floor over to Rick Wheeler. Sir, you may begin.
Richard Wheeler: 01:00 Thank you, Britney. Good morning and welcome to Geospace Technologies' conference call for the fourth quarter of our twenty twenty one fiscal year. I'm Rick Wheeler, the company's President and Chief Executive Officer, and I'm joined by Robert Curda, the company's Chief Financial Officer; and also, with us this morning is Dr. Mark Tinker, CEO of Quantum Technology Sciences, our subsidiary. 01:23 I'll first give an overview of the year end and Robert will follow with in-depth commentary on our financial performance and after a few last remarks, we'll open the line for questions for Robert, Mark and I to try and answer. 01:35 Some of today's statements may be forward-looking as defined in the Private Securities Litigation Reform Act of nineteen ninety five. This includes comments about markets, revenue recognition, planned operations and capital expenditures. Such statements are based on our present awareness, while actual outcomes are affected by factors and uncertainties we cannot predict or control. 01:56 Both known and unknown risks can lead to performance and results that differ from what we say or imply today. Such risks and uncertainties include those discussed in our SEC Form 10-K and 10-Q filings. For convenience, we will link a recording of this call on the Investor Relations page of our geospace.com website. And I encourage everyone to browse the site to learn more about Geospace and our products. Note that the information we record this morning is time-sensitive and may not be accurate at the time one listens to a replay. 02:28 After the markets closed yesterday, we released our financial results for the fourth and final quarter of fiscal year twenty twenty one, which ended September thirty, twenty twenty one. While the year was challenged by the ongoing havoc and instabilities related to COVID-19, we were pleased that revenue for the full fiscal year increased by eight percent over last year. This is a near match to the revenue we achieved just before the pandemic in fiscal year twenty nineteen. However, performance over the year for each of our market segments was mixed. 03:01 The Oil and Gas Market segment experienced a reduction in revenue of fifteen percent. Lower demand for our traditional marine products was a factor, however, the largest reduction stemmed from fewer rentals of our OBX ocean bottom recording systems. Despite this overall reduction, the last two quarters of the year experienced consecutive increases and rental revenue from our OBX equipment. This suggests that OBX demand is improving as both new and earlier stalled projects move forward. 03:31 As the world emerges from the pandemic, fueling global economic recovery has increased energy demands resulting in higher oil prices. This bolsters the likelihood of improved demand for our seismic products, however, a lag in time typically occurs between higher oil prices and greater demand for our products. This lag in part is the result of decisions by exploration and production or E&P companies to allocate major portions of their cash flow toward shareholder reward initiatives such as stock buybacks and dividends as well as debt reduction. While this may be a short-term trend until E&P operators begin to reinvest capital in exploration and production, challenges will remain for our Oil and Gas Market segment. 04:16 And more upbeat news, we received a new request for our proposal from a major oil company for a permanent reservoir monitoring or PRM system. If after due consideration, we provide a proposal, there is no assurance that a contract will be awarded, nor if so that it would be awarded to us. However, the presenting of this formal request in conjunction with the level of interest and quality discussions underway with other E&P companies, gives us great encouragement that the potential for future PRM contracts is high. 04:47 In contrast to the Oil and Gas Market segment, our Adjacent Market segment reported an increase in full-year revenue of twenty seven percent over last year. Industrial products made up the largest increase due to greater demand for our water meter cables and connectors, as well as for our contract manufacturing services. 05:08 Higher sales of our graphic imaging products also boosted revenue in this segment. These products as used in merchandise and textile printing has seen demand grow with the reopening of sporting, entertainment and other social events and gatherings. There was no revenue from our IoT smart water valves and cloud platform secured through our recent Aquana acquisition. However, we are actively rolling out these products in close cooperation with potential customers to incorporate their requirements. We expect revenue from our Aquana products to begin in fiscal year twenty twenty two, this coming fiscal year. 05:44 As our Emerging Market segment, fiscal year twenty twenty one marked a major milestone in the achievement of meaningful revenue from our Quantum Technology Sciences subsidiary. For the full year, this segment generated over ten million dollars, primarily associated with our contract to provide the U.S. Border Patrol with an advanced high tech border security solution. We firmly believe the value of actionable information provided by our Quantum Solutions will lead to future contracts across multiple U.S. government entities. 06:16 Now, just ahead of turning the call over to Robert, I'm pleased to announce that as of this week we have succeeded in fully executing the seven point five million dollars stock repurchase plan that our Board of Directors approved in November of twenty twenty. Under this program, we returned meaningful value to our shareholders through the repurchase of nearly eight hundred and forty two thousand shares of our common stock. 06:40 And with that, I'll now turn the call over to Robert for financial details.
Robert Curda: 06:45 Thanks, Rick, and good morning. Before I begin, I'd like to remind everyone that we will not provide any specific revenue or earnings guidance during our call this morning. In yesterday's press release for our fourth quarter ended September thirty, twenty twenty one, we reported revenue of nineteen point four million dollars, compared to last year's revenue of twenty one point five million dollars. 07:08 The net loss for the quarter was five million dollars or zero point thirty nine dollars per diluted share, compared to last year's net loss of three point nine million dollars or zero point twenty nine dollars per diluted share. For the twelve months ended September thirty, twenty twenty one, we reported revenue of ninety four point nine million dollars compared to revenue of eighty seven point eight million dollars last year. 07:30 Our net loss for the twelve month period was fourteen point one million dollars or one point zero point dollars per diluted share, compared to last year's net loss of nineteen point two million dollars or one point forty two dollars per diluted share. 07:46 Our Oil and Gas Markets revenue is as follows. Our traditional seismic product revenue for the fourth quarter was eight hundred thousand dollars, a decrease of twenty nine percent compared to revenue of one point one million dollars last year. The decrease in revenue for the comparative three-month period is due to lower demand for the rental and sale of our traditional seismic products. 08:07 Revenue for the twelve months of twenty twenty one was four point five million dollars, a decrease of thirty two percent compared to revenue of six point seven million dollars for the same prior year period. The reduction of revenues due to lower sales of our marine seismic products lower -- utilization of our traditional rental seismic products offset by higher sales of our seismic sensors. 08:32 Our wireless product revenue for the quarter was nine point six million dollars, a decrease of twenty six percent compared to revenue of thirteen million dollars last year. Wireless product revenue for twelve months was forty five point eight million dollars, a decrease of fifteen percent compared to revenue of fifty four point one million dollars for the same period last. The reduction in revenue for both of three-month to twelve-month period is due to lower utilization of our OBX rental fleet caused by the effects from the COVID-19 pandemic. 09:05 The reduction in revenue for the twelve month period is offset by the recognition of a twelve point five million dollars sales -- related to a land-based seismic wireless system delivered to a customer in the prior year, a nine point nine million dollars sale of a used OBX rental equipment to the former lessee, and a two point nine million dollars sale of land-based wireless products. 09:31 Our reservoir product revenue for the three and twelve months periods ended September thirty, twenty twenty one was three hundred thousand dollars and two million dollars respectively. These reflect increases of two hundred thousand and one million dollars, when compared to the three and twelve months periods last year. The increase in both periods is due to a higher-level formed engineer services. 09:55 We believe the best opportunity for meaningful revenue from this segment, it will be from the future contracts for the design manufacturing deployment of PRM systems. We continue to discuss PRM products with multiple customers. 10:11 Moving onto our Adjacent Market segments. Our industrial product revenue for the fourth quarter of fiscal year twenty twenty one was five million dollars, an increase of twenty four percent over the fourth quarter of twenty twenty. Industrial products twelve month revenue for fiscal year twenty twenty one is twenty one point five million dollars, an increase over the same period in twenty twenty and thirty seven percent. Both periods revenue increases are due to higher sales of our water meter cable and connector products and higher demand for our contract manufacturing services. 10:46 Imaging product revenue for the fourth quarter was three point one million dollars, an increase of thirteen percent compared to last year's revenue of two point seven million dollars. The twelve month revenue for imaging products for fiscal year twenty twenty one is eleven point one million dollars, a thirteen percent increase when compared to the same period in twenty twenty. The increase in revenue for both periods is due to increased demand for our thermal imaging products. 11:14 Finally, revenue from our Emerging Markets segment totaled one hundred and seventy thousand for the three month and ten point two million dollars for the twelve month period ending September thirty, twenty twenty one. Prior year revenue was one hundred and seventy seven thousand dollars for the fourth quarter and seven hundred and thirty four thousand dollars for the twelve month period ending September thirty, twenty twenty. The increase in revenue for the twelve month period over the prior year is due to the contract awarded in April twenty twenty with the U.S. Border Patrol. We expect to complete this contract during the second quarter of fiscal year twenty twenty two. 11:54 Our fourth quarter of the fiscal year twenty twenty one operating expenses decreased by one point two million dollars or fourteen percent compared to the fourth quarter of twenty twenty. The twelve month operating expenses decreased by eight point three million dollars or twenty percent when compared to the same prior year period. The decrease in operating expenses for the three months and twelve month periods is due to reduced personnel costs related to our cost reduction program that began in fiscal year twenty twenty, a non-cash decrease to the fair value of contingent earn out liabilities for our Quantum and OptoSeis acquisition, a decrease in research and development project costs and a reduction in general business expenses related to our business operation. 12:45 The decrease in operating expenses for the three month period was partially offset by higher selling and marketing costs related to travel -- related to an increase in travel, conferences and trade shows, previously restricted by the COVID-19 pandemic. Our twelve month cash investments into property, plant and equipment were three point two million. Our cash investment into our rental fleet was two point one million dollars as of September thirty, twenty twenty one. We expect fiscal year twenty twenty two cash investments into our rental fleet to be approximately three million dollars and cash investments into our property, plant and equipment to be four million. 13:27 Our balance sheet at the end of the fourth quarter reflected twenty three point six million dollars of cash in short term investments. We currently have no debt in numerous real estate holdings in Houston around the world that are owned free and clear without any leverage. 13:42 That concludes my discussion, and I'll turn the call back to Rick.
Richard Wheeler: 13:47 Thank you, Robert. Despite the many negative impacts of COVID-19 throughout the year, our twenty twenty one fiscal year held some remarkable accomplishments. Full year revenue from our Adjacent Market segment reached its highest figure ever in the company's long history. The year also marked the beginning of meaningful revenue from our Quantum subsidiary and the Emerging Market segment. 014:13 Moreover combined revenue from products and services outside of our Oil and Gas Market segment made up forty five percent of the year's total revenue. This serves as a testament to the power of our diversification strategy and the afforded benefit of transitioning our technologies into other markets. This path forward is further evidenced in our recent addition of Aquana and its smart water management products. 14:40 Likewise, our announced partnership with Carbon Management Canada to develop a cost effective solution for monitoring carbon storage with sophisticated Quantum analytics is another example. Both endeavors seek to improve the environment through better management of water resources in one case, and helping industry reduce atmospheric Co2 in the other. In conjunction with our strong debt free balance sheet, these pursuits give us optimism that the opportunities for our growth are outstanding. 15:11 This concludes our prepared remarks, and I'll now turn the call back over to Britney for questions.
Operator: 15:16 The floor is now opened for questions.  Our first question comes from Matt Dhane with Tieton Capital.
Matt Dhane: 15:44 Thank you. I wanted to touch on your commentary around the Border Control contract being completed here in the second quarter fiscal twenty two. I was surprised to hear that I thought it was more less completed. Is there significant revenues that still to remain to be realized from that contract? And what are you still doing on that contract, if you could too?
Richard Wheeler: 16:06 There are not any significant revenues associated with that. We're really just wrapping up that contract. We have some very minor things to complete with them. Some training to do things of that nature, we're just getting towards the end of it.
Matt Dhane: 16:27 Great. And I -- should it -- would it be safe to assume that conversations continue actively with the Border Patrol and how would you characterize those conversations and what's been there, their reaction to what they've experienced in teams so far with the system that is actively laid right now?
Mark Tinker: 16:51 Hi, Matt. This Mark.
Matt Dhane: 16:52 Hey, Mark.
Mark Tinker: 16:54 Yeah. The relationship remains very positive, of course, performance has gone very well. We're very proud of that and the team that we have developed to do something so complex. They, of course, are subject to what's happening on the hill with continuing resolutions. And so it's going to be a little bit of a wait and see for what's next as we work through this budgeting period and see what will ultimately happen with the Homeland security budget that we -- it's hard to predict, of course, but we hope to see and have going to law sometime in the spring.
Matt Dhane: 17:35 Great. And from my understanding, I believe expectations there was already an expectation that system will perform well, has that exceeded even what you believe the individuals at the Border Patrol expected it to do, and has it surpassed our expectations, I guess?
Mark Tinker: 17:56 No, I can't answer for them. Of course, I can tell you as a Seismologists and one of the innovators of it that I'm very happy. I'm very pleased with how it has gone, both in our manufacturing of it. It is very complex system. So Geospace and Quantum bringing our mutual capabilities into a single solution. That's a big milestone for us that we're now going to leverage going forward into many different applications in the future. I'm pleased with getting it in the ground. These are seismic acoustic systems and how we get them there it's important and inefficient cost effective and environmentally friendly way and then how it performs. These are challenging environments that we go into. We prepared for them. We did the good science and yes, I could not be happier with how well the system's doing. But I'm only speaking on my behalf, I can't speak on behalf of the Border Patrol.
Matt Dhane: 18:58 Well, I appreciate the commentary Mark.
Operator: 19:04  And we do have an additional question from Scott (ph) Bundy with Moors & Cabot. Your line is open.
Scott Bundy: 19:17 Good morning, gentlemen.
Richard Wheeler: 19:19 Hi.
Scott Bundy: 19:22 So Rick, the credit facility is it the intent to increase the size of that credit facility with someone else?
Richard Wheeler: 19:30 Well, in actuality, we haven't used that credit facility in quite some time. And in review of that, we thought we could do better than that. I mean, let me let Robert speak to that because he can give you some more details on it.
Robert Curda: 19:45 Yeah. Our plans right now are not necessarily to increase the credit facility. It's just to look for what other options are out there and what better fits our needs today?
Richard Wheeler: 19:58 I think last time we even utilized any kind of your credit facility was back in -- was of twenty thirteen.
Robert Curda: 20:03 Yes. September of twenty thirteen.
Richard Wheeler: 20:07 So it's not been something that's really benefited have -- has been needed to benefit us in time since then.
Scott Bundy: 20:18 So where I'm going with that is, obviously, in twenty thirteen was the last significant PRM contract, I guess the interesting question for me is, if this PRM contract comes to fruition would you need additional resources?
Richard Wheeler: 20:38 We're actually not sure that we would or would not, but I don't think we feel that we are under any stress with respect to coming out with the financial wherewithal to proceed with any of these discussions that we're having with the oil and gas companies.
Scott Bundy: 20:54 So, Rick, the Gulf of Mexico just had a fairly significant new leases. Is there any historical perspective that you can provide for us related to activity in the Gulf new leases, et cetera.? And what that may mean for your seismic equipment?
Richard Wheeler: 21:17 Well, certainly, our OBX ocean bottom equipment has been very popular in the marine environment over the last several years and you're well aware of that. It certainly has opportunity to be used in the Gulf. There are discussions about various projects out there would apply. There's also possibilities for permanent reservoir monitoring system in Gulf waters as well. So there's plenty of opportunities there, but as you well know, things change as political environments change, that also impacts the future of those areas, so we'll just have to see.
Scott Bundy: 22:04 Rick, am I correct? If the only other competition for this PRM contract from  or are there others?
Richard Wheeler: 22:19 I would say that in our estimation, the primary competition would be from . If there are others, they're not ones that have made themselves known to me, it does not mean there don't exist some out there.
Scott Bundy: 22:33 And so, I'm assuming going back a year ago when you guys decline to provide a bit that  of course, the others also declined to bid. And so, what's different right now versus a year ago and when these discussions were taking place?
Richard Wheeler: 22:53 Well, I mean, terms and conditions were tweaked to bid, I guess from last time and that requires new evaluations, which is what we're in the middle of at this point in time.
Scott Bundy: 23:09 And obviously, when you are used the word great encouragement, is this environment the best environment in terms of discussions that you guys have ever had at Geospace?
Richard Wheeler: 23:26 That's a very fair statement. We have more ongoing conversations going on, none of which imply there will be any revenue in fiscal year twenty twenty two. But the level of these discussions, the depth that we're getting into on these discussions, certainly is the greatest ever been, should be quite frank. And that being the case, it's very much an indication of just how well the science is understood, how much value there is, and in four day monitoring, they call it on these reservoirs. They all do for de-monitoring or time lapse monitoring, they don't always use permanent systems, but there's quite a bit of return on the investment in a sooner amount of time using permanent reservoir and monitoring systems. They're also much more environmentally friendly because once you deploy the systems then subsequent surveys are generally a single vessel towing and air gun around. So, it's a very lightweight ongoing process there. So, there's a lot of things that point to the effectiveness of PRM that may well be why we have as many conversations going on as we do, but we'll just have to see how it all plays out.
Scott Bundy: 24:55 If I could just ask Mark, a couple of questions. So Mark, the secretary of Homeland security is supposed to submit an annual report to the congressional committee set forth in this. And this would include cross-border tunnels et cetera. I'm sure you're quite aware of this. What I've not been able to find in this report, but this report supposed to be pretty exhaustive as best I can tell. Can you give us any additional information on what this means and how this affects Geospace?
Mark Tinker: 25:35 Well, everybody pull up to your whiteboard. It's a very good question but it requires more of an in-depth answer than I think is I can go into here. Our capabilities provide solution for being able to deliver to the Border Patrol actionable information. So border security is a key element. Non-partisan for ensuring that we remain aware of anything coming across our borders. Whether it's legally through ports of entry or illegally. Threats come every day. So I'm not exactly sure what will be in this report. But we do know surface crossing, aerial crossings and subcutaneous crossings. Our mechanisms for bringing guns, weapons, drugs and other contra van in. It's been no secret. We talked about it quite a bit that the requirements for monitoring, we are very tune to. And this next level system that we've delivered is going to be evaluated and looked at for meeting those additional requirements. So his report, the plus up that came in the Senate Corporation's last draft language of taking border security technologies and adding another seventy million dollars to it. It's all indications that security technologies are key element in addition to a physical barrier such as a law to providing a complete security domain awareness along the Southern Border and the Northern Border two be included.
Scott Bundy: 27:34 So those funds been exhausted and so therefore, we do have to wait for this next bill. Is that what you're referring to in terms of next spring?
Mark Tinker: 27:45 I can't speak if all the funds have been exhausted. We're not privy to what remains in the funding coffers of the Border Patrol. But funds come in different colors, multi-year funds can sometimes be the case. But we're pretty sure that our next contract will be tied to the future funding cycles, and that's why we're trying to stay so tuned to the FY twenty two budget.
Scott Bundy: 28:16 Got it. And just lastly, can you give us a little bit of insight as to what this JV means for carbon management, Exxon recently put out a pretty big number of relative to the amount of money that they'd like to appropriate to this area. How far out is this? Where are we in terms of products and availability. Can you give us some sense of what's going on with regards to this JV?
Mark Tinker: 28:52 I'd be delighted to. So passive seismic monitoring is an additional endeavor that we're taking here at Geospace. As you know, we offer best in class products for the active seismic world that Rick was just talking about. So we delivered acquisition systems that record intentional energy injected into the ground to image the upper layers of the earth. But in this new movement and the expansion of energy, and how it's -- how we're going to deliver energy and it can be whether we're doing it cleanly to secure carbon, whether we're going to use geothermal or other techniques when we're interacting with reservoirs in the upper layers of the earth by injecting fluids. These fluids could be liquids or these fluids can be gases. These reservoirs have a seismic expression. They're going to release micro earthquakes. So now we have the opportunity for passive monitoring and that's standing back and listening for that seismic expression. So you're right, Exxon is putting a big investment out. I was pleased to attend about a month ago, a conference in which I was able to hear the CEO of OXY speak. And she says this part of this new market that's coming at is, she said between three dollars and five trillion dollars is her prediction. So of that very sizable market, a component of that will be the monitoring of those reservoirs. 30:35 You can go look in Canada, you can look in California, you can Google for what these potential requirements will be to ensure that when we do store carbon underground, how are we going to make sure that it stays there? And how long do we have to ensure that? So that aspect of the full carbon capture utilization and storage market that aspect is the MMV component. The verification component and that's where we come in.
Scott Bundy: 31:05 So would this be like lane sensors on the border for the Border Patrol?
Mark Tinker: 31:13 So our state or technology that we're applying throughout that we have applied throughout the government to include the Border Patrol is an exact map over. So the JV is very critical because it allows us to have energy, the entire energy market see how well this works. So, that relationship that we have with Carbon Management Canada and they have a number of join industry subscribers that they call it from a number of major oil companies such as Shell or Chevron or  or BP. It's an active carbon storage site. So our state or technology that we've developed has now been deployed there. And we're going to be analyzing the data and sharing those results with future potentially future customers.
Scott Bundy: 32:05 And what do you think the cycle time is for other players for people to evaluate this. What's sort of the evaluation is it, a quarter, two quarters four quarters? What's your guess?
Mark Tinker: 32:21 I would say four to eight quarters.
Scott Bundy: 32:24 Okay. Thank you, guys, as always appreciate it.
Mark Tinker: 32:31 You bet, Scott.
Richard Wheeler: 32:33 Thank you.
Operator: 32:35 There are no further questions on the line, at this time. I'll turn the floor back over to Rick Wheeler for any additional or closing remarks.
Richard Wheeler: 32:42 All right. Well, thank you, Britney. And thanks to everyone who joined our call today, and we'll look forward to speaking to you again on our conference call for the first quarter of fiscal year twenty twenty two in February. Thank you very much, and goodbye.
Operator: 32:57 Thank you. This does conclude today's Geospace Technologies fourth quarter twenty twenty one earnings conference call. Please disconnect your line at this time and have a wonderful day.